Operator: Ladies and gentlemen, thank you for standing by and welcome to the Bank OZK Third Quarter 2022 Earnings Call. [Operator Instructions] I would now like to turn the call over to your host, Jay Staley, you may begin.
Jay Staley: Good morning. I'm Jay Staley, Director of Investor Relations and Corporate Development for Bank OZK. Thank you for joining our call this morning and participating in our question-and-answer session. In today's Q&A session, we may make forward-looking statements about our expectations, estimates and outlook for the future. Please refer to our earnings release, management comments and other public filings for more information on the various factors and risks that may cause actual results or outcomes to vary from those projected in or implied by such forward-looking statements. Joining me on the call to take your questions are George Gleason, Chairman and CEO; Brannon Hamblen, President; Tim Hicks, Chief Financial Officer; and Cindy Wolfe, Chief Operating Officer. We will now open the lines for your questions. Let me now ask our operator, Kevin, to remind our listeners how to queue in for questions.
Operator: [Operator Instructions] Our first question comes from Stephen Scouten with Piper Sandler. Your line is open.
Stephen Scouten: I guess maybe if we could start with the repayments seen this quarter, obviously, down about $1 billion quarter-over-quarter and I know that can be somewhat episodic and hard to predict, but I took the commentary in the management comments is somewhat of a positive that you don’t think it will necessarily be the highest year on record. So can you tell me what you guys are seeing there and what might be driving the reduction in repayments? Is it less opportunity for your customers to refinance out? Or what kind of dynamics are going on there?
George Gleason: Brannon, do you want to take that?
Brannon Hamblen: Absolutely. Absolutely, Stephen. Thanks. Good to talk to you. Certainly, you identified one of the issues. Obviously, the finance markets, whether it be bridge or permanent lending markets are affected as the interest rates have moved to the degree that they have. So I would say that while we have repayments from a number of directions, including the sale of for-sale product condos and on a lesser level, obviously, lots in single-family homes, the refinance market is a big part of what takes out our loans. So that has slowed down. We are still seeing those. Obviously, it was a material payoff quarter, but not perhaps as heavy as we had expected. And I think as we stated in our comments, we would expect at least for the foreseeable future that it may not be as heavy. It’s hard to say. As you know, these loans are quarter-to-quarter, are a little bit lumpy. But we -- you never know, Q4, we could still have a heavy one that hits the record. We just can’t say for sure at this point in time. But in general, I think a little bit slower.
George Gleason: And Kevin, your -- Stephen, your assumption there that we view this generally as a positive was accurate.
Stephen Scouten: Okay, great. Great. And then the biggest positive I thought in the quarter, to me, at least, was the relatively low deposit beta. I think that's a testament to the changes and mix changes that you've seen over the years. How are you thinking about deposit betas moving forward even as you've had to start tapping back a little bit into the brokered deposit realm? And kind of what are you seeing on new CD yields and where we could see those moving?
George Gleason: Cindy, do you want to take that?
Cindy Wolfe: Sure. Thank you. Yes, we were relatively pleased also. If you look at first quarter, the low of 23 bps and even though we've had 300 bps increases since then, we've -- we're up 36 bps since then. So we're pleased with that, but we don't think that's sustainable. We think that our cost of interest-bearing deposits will go up just like we said on Page 14. But we're going to continue to be very opportunistic and disciplined in our approach to how we fund the balance sheet. And I'll just reiterate what we've said before. This is early in the cycle and towards the end of the cycle, this could -- this ability to avoid outpacing loan yield increases may start to lessen, but we're just going to continue and stay the course and be very disciplined and opportunistic.
George Gleason: Yes. And Stephen, I would add to that. I think our view is that deposit cost, as Cindy said, will rise faster in the current quarter and may ultimately rise faster than loan yields toward the end of the Fed tightening cycle, all as we've said for a couple of quarters in the comments. We are cautiously optimistic that we'll see another quarter of positive core spread and NIM expansion this quarter before we see that sort of tighten down and catch up. But the real key -- and what I thought was the highlight of the quarter was the strong growth in our outstanding balance of loans, almost $800 million, and the record growth in our unfunded loan commitments to $20 billion. Because as margins normalize some degree towards the end and following the Fed tightening cycle, the key to us putting up continuously improving net interest income as growth. And this quarter was a strong growth quarter on top of 3 previous strong growth quarters in that unfunded number with a little abatement and paydowns, we're beginning to see that translate into funded balance growth and prospects for meaningful loan growth in '23 and '24 look very good and we're -- I think that was the highlight of the quarter. Now that caused us to have an EPS miss from the consensus number because we had to build reserve for that growth. But we would take that kind of miss every single quarter.
Stephen Scouten: Absolutely. Yes, that’s a great story. And just one last to clarify if I could sneak it in. Do you guys have a number for how -- like what percentage of your RESG loans you guys have required to put caps on their side of the structure? I know we’ve got to move past the floor story for right now to just kind of thinking about how you guys are protected from them experiencing too much of an impact from higher rates if you have those numbers?
George Gleason: Yes. We have no loans that have caps on our interest rates, but we do require our customers to purchase caps on their interest rate. So Brannon, you might comment on that.
Brannon Hamblen: Yes, Stephen, I don't know the percentage off the top of my head. It's definitely a majority and we have been very busy making sure those are documented as these rates have risen. And obviously, we have those in place. We have an assignment of that as collateral. So an important issue that we have been focused on in the past so that we’re prepared for the present as it relates to these rate rises. Again, not an exact percentage for you, but it’s the majority of our loans.
Operator: Our next question comes from Timur Braziler with Wells Fargo.
Timur Braziler: Starting bigger picture, we heard from some other companies that they’re increasing caution on spaces like office, while OZK clearly see record originations and new office projects. Are we in or entering an environment where you’re starting to see some competition falling off? And I mean, it seems like that’s the time when OZK typically does best. So maybe just talk a little bit about the broader CRE markets today?
George Gleason: Brannon, why don't you take that?
Brannon Hamblen: I'd be happy to. Thanks for the question. That's -- I would say that's an accurate depiction. There -- and I think even last quarter, we discussed the same topic and noted that there are increasingly fewer competitors. And again, I will note, when you guys have noted our loan sizes on average are strong and growing and our ability to do some of the larger loans as we do gives us a pretty good competitive advantage in any environment, but more specifically in the environment we're in. So, now we’re not -- we’re capitalizing on that opportunity, but not only to perhaps do some deals that we wouldn’t have been able to otherwise with tremendous sponsorship. We’re still, as I said in the past, doing deals with sponsors we’ve not previously transacted with, but also in an environment like this, improving our leverage, improving our pricing as we operate and what is, to your point, a somewhat less competitive environment.
Timur Braziler: Okay, that's helpful. And then maybe on the expense front, as we look for accelerating pace of our ESG balances to kind of fund up over the next 2 years, is that infrastructure already in place? Or does the personal nature of the lending vertical or kind of accelerated hiring through the next couple of years?
Brannon Hamblen: Let me take that as well, George. I would say and we've talked about this quarter-to-quarter, obviously, our job in keeping, retaining and attracting new talent has been harder this year than ever. But I just want to give a tip of the cap to my team that has done an absolutely phenomenal job in actually improving the infrastructure at RESG. We've moved some things around, strengthened certain key departments and I would say that this year, we're in better shape than we have ever been. And to your underlying question, our ability to scale that is better than it's ever been. I mean we have yet another quarter of record number of loans that we closed in the quarter. So we have been historically and continue to look for ways to adjust and build the team such that it can continue to scale to deploy this good capital build that we've had over the years.
Timur Braziler: Okay. And then maybe just lastly for me. How are valuations holding up for projects that are coming up for renewal? It seems like the pages in the management comments that kind of highlight that information were not included in this iteration?
George Gleason: Yes. We took that out more because we just didn't feel like it was that material anymore as it was in the pandemic. We had that commentary in the management comments for a period of time. You saw as we have seen in the past, values going up and down on properties as they're reappraised. And Brannon, you may want to provide a little more color on that.
Brannon Hamblen: Yes. Yes. No. I mean, as every quarter, we have reappraisals conducted. You have some that are up, some that are down. I think for the most part, those movements were in the range that we’ve seen historically. There -- our hospitality world is the world that we continue to watch the closest. But across the other categories, really very similar results as you have been seeing in the past where most were within an absolute loan-to-value change of, call it, 5% one way or the other.
George Gleason: We did -- Timur, we did have one, if you could look at the bubble chart. We did have one hospitality loan that popped up into the low 80s percentage loan to value which is our highest loan-to-value loan. At the same time, just to give you the flip side of that, we had 3 hotel loans that were cross collateralized that were in our chart last time that were among our highest loan-to-values, may sort of disappeared down into the mass of loans because on reappraisal based on improving performance in those properties, they're just priced significantly better. So it's reflecting individual property performance. And as Brannon said, most of these results are kind of plus or minus 5% from where they were originally appraised. You do have, particularly in the hotel sector, some more extreme results because some hotel properties are recovering really quickly. Business-oriented hotel properties that are dependent upon business travel are recovering more slowly towards what you would think would be a normalized level. So -- but nothing material on that front.
Operator: Our next question comes from Catherine Mealor with KBW.
Catherine Mealor: Just wanted to follow-up on the prepayment conversation here with Stephen earlier. And just think about big picture, how do you think about the risk around kind of the balance sheet moves, where if paydowns really flow from here. And then you’ve got this big ramp in origination volumes that you could see your balance sheet balloon. And I don’t really worry about that from a capital perspective because you’ve got so much capital but maybe as a -- from a funding perspective, that could put more pressure on your need to spin up deposits across your franchise. So just kind of thinking about how you manage the funding in that if your balance sheet does end up getting a lot bigger than expected next year?
George Gleason: Yes. Well, Catherine, first, I would comment that I don't think we're going to see a huge drop-off in prepayments. Obviously, it was $1 billion something this quarter versus $2 billion something. But I think we're going to see a pretty regular stream of prepayments on loans. Secondly, I think we're very comfortable with our ability to fund our expected loan growth, even variations and cushions on that expected loan growth from deposits. And thirdly, we've got about almost $10 billion in unpledged securities, FHLB borrowing capacity and various other miscellaneous secondary sources of liquidity to tap into. So we've got a lot of liquidity sources. Our deposit guys are doing an excellent job and repayments will continue to be a source of cash flow. It will vary from quarter-to-quarter, but I think those are going to continue to be pretty meaningful.
Catherine Mealor: Great. And then just on the cost of deposits. Cindy, can you give us any kind of discussion or color around where maybe new CDs are coming on today and where you're seeing kind of special -- and then typically, you do your spin-up strategy where you have different rates in different markets and you kind of do it at different times. But just generally, where new funding was coming out, many of course at the end of the quarter and how -- just kind of give us a sense for the deposit betas in the next few months?
George Gleason: That's a tough. I'm going to jump in for Cindy on that and just say it's all over the board, Catherine. So we are getting more aggressive on deposits, obviously which is in line with our comment that we expect deposit costs to rise more in Q3. And we're adding some duration and have been adding some duration in there that is helping in the management of those costs. But we are going to see higher deposit betas than the whatever it is, '21 beta we've seen over the last 2 quarters, Cindy, is that right? Is that a 2-quarter number, 2-quarter net? So that's coming there. And you also might have noted in our noninterest expense, an increase in advertising cost. We've got good momentum in adding core accounts and we're putting some money in the ad budget and expect to continue to hammer that. And it's brand awareness advertising, it's deposit specific product and pricing advertising as well as we've done a lot of advertising designed to enhance our ability to increase employment. The guys did some great work on that. And that has really helped us reduce our unfilled positions and get our retail branch infrastructure close to fully staffed. We're never fully staffed but we're a lot closer than we were less than half the number of openings that we had a couple of quarters ago. And that is really helping us serve customers and open new accounts and bring in deposits.
Catherine Mealor: And then one more, if you don't mind, just moving over to loan yields. The loan beta was very high. Is there a -- which is expected because of your variable portfolio. But is this a good barometer for the pace that we shall see loan yields perhaps increase with future hikes? And just kind of wanted to confirm that, that there aren't any outsized prepayment fees or anything within that number just to be aware of?
George Gleason: Tim, do you want to take that?
Tim Hicks: Yes, Catherine. To your point, on the minimum interest and other fees that we get from time to time for payoff, that was a fairly average number within a range for the quarter. So nothing outsized there. And to your point, we've got 78% of our loans that are variable and the vast majority of those are off their floor. So it depends on the timing of when we get Fed increases, the timing of when LIBOR moves and SOFR moves and the timing of when our loans reprice, most of our RESG loans reprice in the first 10 or 11 days of each month. So all those kind of go into the equation of what would result in an increase in the loan yields. But there was nothing outsized from a minimum interest or any other type fee that was in this quarter.
Operator: Our next question comes from Matt Olney with Stephens.
Matt Olney: I guess my question is similar to Catherine’s question around loan yields and loan betas. I guess, different perspectives. It seems like we’re probably now sitting above and beyond all the floors that we had a few months ago. So it seems like we could see even stronger loan betas in 4Q and 1Q than we saw in the third quarter. Any thoughts on kind of where we sit today versus perhaps earlier in the third quarter?
George Gleason: Matt, I would comment and Tim can weigh in on this. Most of our -- as Tim mentioned, most of our loans in RESG have their -- have monthly repricing and they reprice on either the 1st, 10th or the 11th of the month predominantly. Now there are loans throughout there but most of them reprice on the 1st, 10th or the 11th. So when we disclosed Q2 data as of June 30, we still had a smidgen of loans that were at their floors at June 30 but lifted above those floors with loan repricing on July 1, 10 or 11. And again, there were some miscellaneous exceptions but the vast majority there. So really, it’s about the 11th of July, I think we could have said the vast majority of our loans were off their floors. And by August, we would have said essentially all of them were off their floors for all practical purposes. So I think you had pretty much a full quarter’s impact in Q3 at the floors, not constraining the adjustability and variability of that portfolio. So the Q3 loan betas are probably pretty indicative of Q4 loan betas. Tim, would you agree with that?
Tim Hicks: Yes, I would. Yes.
Matt Olney: Okay, that's helpful. And then I guess on the stock buyback plan, it was mentioned in the comment section that expires here in a few weeks. And I'm sure there's going to be a Board discussion around the buyback. Any commentary, George, about what you'll be recommending to the Board with respect to the buyback next time?
George Gleason: I’m going to defer that to Tim. He’s, as Chief Financial Officer, he’s in charge of capital. So Tim, that’s yours.
Tim Hicks: Yes. Thanks, Matt. As we said in the management comments, we've been fairly active over this program. We've had over $12 million -- I mean, 12 million shares repurchased over the program which was really over 9% of the outstanding shares when we began the program. So we've been very active. So far this quarter, we’ve not been very active, had some share repurchases but fairly minimal amounts. The program does expire on November 4. And we’ll have to have that conversation with our Board later in the quarter. We’ve not had that conversation and we’ll have a conversation with them and decide what they would like to do. As we’ve said in management comments in many quarters, organic growth is our primary priority for use of capital. And you saw this quarter, obviously, we had great funded loan balance. We had great unfunded loan balance and that was a way to use some of the capital during the quarter. So we’ll continue to evaluate our program and our thoughts around that with our Board as we get into -- later into the quarter.
George Gleason: Yes. And I would just echo Tim's emphasis on organic growth. And the good thing about our growth at this point is RESG. It has obviously been hitting on all stellar notes over the last 4 quarters with poor consecutive record quarters of originations. The -- I don't know we see more records or not but the pipeline looks relatively good there. And more importantly, as you saw in the management comments, all of our other lending teams are contributing positively to loan growth. We think those guys gain momentum as we go forward. They seem to be gaining momentum now and we expect that will continue. So we are very pleased with the success and the traction that we're finally getting on our efforts to get more diversified contributions to our loan growth in addition to RESG.
Matt Olney: And George, just following up on your commentary on loan growth. It seems like in the past, the bank has been hesitant to give specific loan growth guidance given the variability of the paydowns, the originations and some of these can be quite large, obviously. As we move into 2023 and you feel better about the loan growth pipelines, do you expect to be able to provide more guidance around loan growth?
George Gleason: Matt, I don't know. We want to make sure the information we give is good information and accurate information. And we tend to speak more in terms of direction and so forth and to give specific numbers. And certainly, as we go into 2023, this is -- I don't know and I've been doing this 43 years. I don't know that in my 43 years as CEO of this company, if I've ever seen an environment that has more variables and uncertainties from a political -- geopolitical interest rate, economic situation. So I certainly don’t think it’s time to step out and start giving specific growth guidance in an unprecedented environment of uncertainty. But we do feel really good about what our RESG team has done. And the near-term future, we can usually see about 3 or 4 months down the road or 6 months down the road with their pipeline. And we feel very positive about the traction that our other lending teams are getting and they’re beginning to contribute more and more to that growth. It wasn’t but a couple of years ago that RESG -- a few years ago -- that RESG was 70-plus percent of our non-purchased loans. It’s 60% now and that’s a good credit to the other guys that are beginning to carry more and more of the load.
Operator: [Operator Instructions] Our next question comes from Jennifer Demba with Truist.
Jennifer Demba: Interesting comment you just made, George, about you don’t believe you’ve been in an environment where there’s more uncertainties. So I’m curious, banking industry is expecting more normal charge-offs in the next couple of years. What do you think a normal range of charge-offs is for OZK with your current business model and business mix?
George Gleason: We've -- with 1 year's exception, I think we've sort of been in that high single digit to a very low double-digit annualized net charge-off ratio for, gosh, Tim, what, 7 or 8, 9 years, something like that. So certainly, if you just look at that chart that we give on what is that Page 16, that figure -- what's the number?
Tim Hicks: Figure 15.
George Gleason: Figure 15 in the management comments, I think you can sort of do a regression analysis on the last decade and decide where you think our net charge-off ratio normalized is.
Jennifer Demba: Do you think the recession that we face in ‘23 is going to be a garden variety of recession? Or do you think it’s going to be worse than many think?
George Gleason: Jennifer, I studied economics but I don't consider myself a practicing economist. But it is hard to see how we get into an extreme hard recession when you have employment levels as high as you have. We've got an indirect marine and RV business. It's about 12% of our non-purchased loan book. And I keep watching the past due and charge-off numbers from that portfolio. And it is barely bumping in any sort of way up or down. It's just been pretty darn stable within a normal range of variability. And certainly, other banks who have reported earnings already and have commented on the conditions of their consumer portfolios suggested that the consumer is very strong and holding up very well. And we don't see any reason to think that's not the case from our perspective. And our RESG portfolio continues to be very well. There was a question earlier about office and I get a lot of information from that portfolio. And yesterday on one of our projects that we financed and closed just a few months ago is purely a spec project. They -- we got notice that they had signed their second large lease for 108,000 square feet in it. And business continues to get done and people are hiring people. People are expanding and taking new office space and probably a lot of that is reflective of the state-of-the-art quality modern ground-up construction office space that we're building and financing and that's the best in the markets sort of space. I'm not sure I'd want to have a bunch of B&C grade office space in this environment. But business is still getting done. So it's -- it is hard to see from those sort of perspectives from consumer and business perspective, how you have a particularly severe downturn. The Fed is raising rates to [indiscernible] the last few decades are unprecedented levels and they're doing it at a velocity that is really quick. And obviously, you've got food and energy supply chain issues, geopolitical issues all around the world, war in Ukraine, you've got so many things going on. It seems like there's a ton of risk out there. But at the same time, the U.S. economy looks like it is humming along pretty well. And the Fed seems bound and determined to raise rates until they break something and all of us are curious what that is. I'm hopeful that Fed will complete a couple of more rate increases get to next year and stop because the lag effect of monetary policy is well documented. And I think that they need to pause in early next year and let the impacts of their actions resonate through the economy and be measured and seen. I'm afraid if they keep going and we get to 6% and 7% rates because inflation hasn't come to bay. They're going to break stuff unnecessarily. But I -- honestly, I don't know what that is. So we'll see how this plays out.
Operator: Our next question comes from Brian Martin with Janney.
Brian Martin: Just wanted to touch maybe for Brannon or I guess you, George, just on the RESG, you talked about obviously firing on all cylinders since the last 4 quarters. But I mean, I guess, with the unfunded growth where it’s at, I guess, how are the pipelines there today? It sounds like they’re still pretty good, maybe not at record levels, like you’re saying. But I guess, are you still optimistic on that ability to continue to grow today, given kind of the conditions we’re seeing and what you’re looking forward at here? Just some perspective there given how strong it’s been the last couple of quarters?
George Gleason: Yes. Brian, I'll give you my comment and then Brannon can give you the details. But the pipelines are off their peaks. And clearly, inflation is driving up the cost of construction and materials cost. We have seen some sponsors putting projects on hold because they believe that materials cost will come back down next year. Obviously, interest rates are adding the project cost and eating into cap rates and valuation. So I think there are projects that are getting put on hold just because of that. But notwithstanding that, the pipelines, I wouldn’t say are as robust as they were but I would say they’re still good by historical standards. Now Brannon is on pipeline calls every week and I’m on them occasionally. So Brannon give some additional color to Brian on that.
Brannon Hamblen: Sure, Brian. And George has broadly hit the nail on the head. I think it depends on market. I keep bringing up our ability to do, I think, somewhat larger loans than a lot of our competitors want to do. And that is often paired with a more substantial and desirable sponsorship to do a deal with. And they've kind of got the staying power and the long-term approach and the capital that allows us to do very attractive leverage loan. And it's not a leverage loan that allow me to speak there but attractive leverage on our loans. And so while -- and honestly, week-to-week in these pipeline calls -- 1 week, I'll be like, wow, it's just going to keep dropping off and then the next pipeline call we have, we've -- the guys have pulled in more attractive opportunities that have just sort of reached that stage where they're ready to move forward. It does take longer for deals to move forward these days. So the sponsors are measuring 2x and 3x and 4x and 5x with respect to cost and value engineering and all that sort of thing. And as George said, during that whole process, interest rates have been moving up. So again, we're off our peaks but there is still a lot of, I think [indiscernible] opportunities to do some really nice loans across the country. Again, it's a good pipeline. It's not as strong as it was in the past. But we're taking it a quarter at a time, a deal at a time and I think we will see some nice origination opportunities out there.
Brian Martin: Okay, perfect. That's helpful. And maybe just one on -- not on RESG but just the other diversification benefits you've gotten from these other segments. Can you just talk about maybe just where you're most bullish as you look over the next maybe 12 months on all of the other businesses, if they continue to have momentum. Are there certain segments where you see more upside depending on how things play out here going forward?
George Gleason: Our Corporate & Business Specialties Group and Asset Based Lending Groups are areas where we've got some good traction. We've made some good progress this year. We expect that to continue. Our indirect and marine business, I think, probably grows but at a fairly slow rate, I would guess that it kind of stays in that 10% to 15% target range of our total loans. And probably stays in that kind of 11% to 13% range. I could be wrong giving such tight guidance on that. But I think they replace what rolls off and add some and more or less grow in tandem with our balance sheet. The Community Banking business, we've got a lot of different teams there. Obviously our homebuilder finance team is probably going to see less volume. Some of our other blending teams there seem to be seeing more activity and some growth. So, I think all of these units contribute to our growth and contribute at a greater percentage to our growth starting in about '25, '26 and '27. And Catherine Mealor in her comments asked about the future repayments from the wave of RESG originations we've had. And I think we will have from this year's originations in late '24, '25 and '26, a lot of RESG repayments. But we believe in executing our strategy with the belief that over the next 2 years, these non-RESG units are going to contribute more and more originations in that there will be a bit of a handoff on momentum, not that RESG will not ever be our largest piece of business probably and largest team and most effective team. But I would think as we catch that next wave of RESG repayments that mute its growth for a year or two, that these other business units will really shine as our engines for growth in that period of time. Now I'm talking 3 and 4 years out and, Tim, gets nervous when I talked 3 and 4 years out because lots of things can change but that is our strategic plan on how we're going to handle that next wave of RESG repayments as have these other diversified business units continue to grow as they have done this year and contribute more and more to growth going forward. I think that balances out the growth trends of our portfolio and I think all of our investors would like to see a more diversified steady sort of growth rate to the portfolio.
Brian Martin: Yes, that's helpful. And then maybe just one last one for me, maybe for Tim. Just on the expenses, I know you kind of gave a little bit of color on just kind of how that trends look over the near term? But just broadly, as you look to next year on the expenses, Tim, just how should we be thinking about the growth and the inflation impact and additional hires, just kind of high level, just kind of the outlook there?
Tim Hicks: Yes, Brian, thanks for the question. And yes, we were pleased with being able to increase our noninterest expense during the quarter but also show a decreasing or improving efficiency ratio. So that was a highlight. As George mentioned, we did have good momentum in hiring people during the quarter. We hired just over 120 people throughout the quarter. That was good momentum. We still have some good momentum into this fourth quarter as well and some more open positions that we need to fill and are hopeful we'll fill this quarter. So, I do think our noninterest expense in total will continue to increase several million a quarter. If you really went back to our comments back in our January call, we've been saying that all year that we thought depending on the pace of hiring that we would continue to increase our noninterest expense several million dollars a quarter for the near term. That obviously didn't come in the first half of the year where we were not able to be successful in increasing our headcount. But we've got that momentum in the third quarter and continues in the fourth quarter. So I believe that we'll continue to increase noninterest expense in total several million dollars a quarter. Again, we're investing in our business. We're a growing bank. So investing in our people. We mentioned we would expect advertising and marketing to continue to stay at the elevated level that we saw in the third quarter to support our growth and our brand recognition. So we're -- our expense growth is to support the growth of the business as a whole which we view as very positive.
Brian Martin: Yes. Okay, that's helpful. And I guess just a key point is it -- I guess, you're not expecting outsized growth per se in '23, just kind of normal growth to support the business, nothing out of the ordinary on that front as [indiscernible] getting at. So thanks for the commentary and great quarters, guys.
Operator: Our next question comes from Timur Braziler with Wells Fargo.
Timur Braziler: Just maybe a couple of modeling questions. I was wondering if you have the spot rate on deposits exiting the quarter?
George Gleason: I'm not sure I understand your question, Timur.
Timur Braziler: The cost of deposits at quarter end versus the average that was provided?
Tim Hicks: You're talking about for the month of September?
Timur Braziler: Yes. Just -- yes, for the month of September, end of September.
Tim Hicks: Yes, I think we were 20-something basis points higher in the month of September than we were for the quarter as a whole. I can't remember if it was 20 or 22, somewhere in that range.
Timur Braziler: Okay. Got it. And then just lastly, as we think about the allowance level for the funded RESG balances to start kind of growing in the next couple of years, it looks at the reserve on the unfunded loans is a little bit lower than what the total reserve is on kind of a reported basis. So as those loans fund up, is the expectation that additional reserves are added? Or are they kind of evaluated at that type of funding?
Tim Hicks: You're right that our RESG funded allowance percentage is lower than the overall allowance percentage unfunded balances. So it depends on the mix. I mean it depends on the mix of growth of whether that comes down or not. It also depends on the economic environment we're in as well. But as we said in our comments, the provision expense that we had during the quarter was primarily due to growth in the funded balance and unfunded balance and the view that the environment, macroeconomic environment has a lot of risks and uncertainties in it right now. So as the environment improves, that would be helpful to our reserve levels as well.
George Gleason: And I would comment that RESG is the vast majority of the unfunded what do we -- what's the percentage we disclosed of the unfunded loans? It's 60% of the funded loans. So part of...
Tim Hicks: 87% of…
George Gleason: RESG is 87% of the unfunded loan balances and 60% of the funded loan balances. Our allowance allocations on RESG loans because they are so much lower on average loan to value than other loans from other lending teams in our portfolio tends to be quite a bit lower. So that's part of that differential in the ratios there, Timur.
Operator: Okay. And I'm not showing any further questions at this time. I'd like to turn the call back over to management for any closing remarks.
George Gleason: All right. Thank you, guys. We’re glad you were with us today. We enjoyed getting to report on what we thought was an excellent quarter. We look forward to talking with you in about 90 days. Thank you. That concludes our call.
Operator: Ladies and gentlemen, this concludes today’s conference [ph]. You may now disconnect and have a wonderful day.